Operator: Please standby, we're about to begin. Hello, and welcome to the webcast entitled WWE Fourth Quarter 2020 Earnings Conference. We have just a few announcements before we begin. First, please use the question mark icon in the upper right-hand corner of your web console for technical assistance. The option to enlarge slides is located to the right on your slides, with the four arrows pointing in different directions. 
Michael Weitz: Thank you and good morning, everyone. Welcome to WWE's fourth quarter.
Vincent McMahon: It might be in the afternoon, I'm not sure.
Michael Weitz: Welcome to our fourth quarter earnings conference call. Leading today's discussion are Vince McMahon, WWE's Chairman and CEO; Nick Khan, WWE's President and Chief Revenue Officer; Stephanie McMahon, WWE's Chief Brand Officer; and Kristina Salen, WWE's Chief Financial Officer. Their remarks will be followed by a Q&A session. We issued our fourth quarter earnings release earlier this afternoon and have posted the release, our earnings presentation, and other supporting materials on our website. Today's discussion will include forward-looking statements. These forward-looking statements reflect our current views, are based on various assumptions and are subject to risks and uncertainties disclosed in our SEC filings. Actual results may differ materially and undue reliance should not be placed on them. Additionally, the matters we will be discussing today may include non-GAAP financial measures. Reconciliation of non-GAAP to GAAP information is set forth in our earnings release and presentation, which are available on our website - that all comparisons are versus the year-ago quarter unless otherwise described.  And the replay will be available on our website later this evening. At this time, it's my privilege to turn the call over to Vince.
Vincent McMahon: As you can see, we're generating some pretty strong financial results in a very challenging environment. We continue to produce content, we never missed a week in terms of producing content. It shows the flexibility and our commitment to our audience, which we will always have. We transitioned our flagship programs through our training facility. And then of course, to the Amway Center and then continued on to what - to something we called the ThunderDome was a great name, any event, it's a - most of you have seen it. And there's nothing like it on television allows us to have live fans. They're just not in seats. They're on screens. And some of the other things I do want to mention. Certainly, we - our multi-year agreement with NBC U is on the big box service. To my knowledge, I don't think there's any really big deal that's been announced ever since the COVID stuff began. I really think that's pretty extraordinary on their part, and definitely on our part as well. And again, we just - this agreement is really awesome for our WWE fans, our W Universe, as we call it, it's just gives them more - more value, not just the WWE 999, which is a great value for what we do. But then again, they for less money, they pick up our, our network, as well as all sorts of entertainment. So it's great for our fans. I think that Nick and Stephanie and Kristina are going to provide a little more perspective on this development.
Nick Khan: Thank you very much, Vince. And thank you everyone for calling in today. A week and a half ago, we made what we believe was a big announcement regarding WWE and Peacock. Starting on March 18, the entire WWE Network and its content will shift to Peacock in the United States. This includes WrestleMania, our vast library and all of our pay-per-view events, starting with Fastlane on March '21. As part of this partnership, WWE will maintain access to valuable audience data. As we all know, Peacock is free to Comcast, Xfinity and Cox Cable customers. So watching Fastlane and subsequently WrestleMania on April 10 and 11th will be free to all of those consumers. Additionally, WWE Network will be available for $4.99 a month on the ad supported Peacock tier, which is half the price that Vince just mentioned, of $9.99 a month. The price we have been charging for WWE Network in the United States and will continue to be no upcharge of any kind, for any of our events. $4.99 price is the all-in price for our great library and pay per view in ring action. In addition to the office Saturday Night Live, Modern Family to dick wolf franchises, the English Premier League and the Olympic Games. I believe the last time we all spoke in October; we collectively discussed how the recent org structure changes at NBC, you and Disney are indicative of the fact that streaming had become a top priority for both companies. Many months in advance of those org structure changes, we started to engage in deep conversations with multiple buyers in the marketplace about a potential deal. Ultimately, we felt like the partnership with Peacock was the right move at the right time for our fans and shareholders.
Stephanie McMahon: Thanks, Nick. One of the lessons Vince always taught me in business was to always be slightly ahead of the curve, not so far ahead that people don't understand what you're doing and certainly not behind. WWE was ahead of the curve with the advent of pay-per-view, bringing WrestleMania directly into people's homes. Social media allowed one-to-one connection between our superstars and our fans. And when consumers started migrating to what was then a new short-form platform called YouTube, WWE became one of YouTube's original paid content partners. When research showed our audience was 5 times more likely to consume online video, we cannibalized our pay-per-view business and launched the first live SVOD service of its kind, WWE network. And now we're ahead of the curve again, licensing WWE Network, our most premium content, to one of America's premier streaming services, NBCU's Peacock. But why now? Because the landscape has changed. COVID-19 and quarantine accelerated a behavioral viewership shift to streaming platforms. Streaming behemoths are investing heavily in technology and infrastructure in order to scale with operational efficiencies creating more flexible pricing options. And the biggest thing all of these providers have in common is the need for branded content. In order to be competitive, we need to pivot away from the technology necessary for an optimum user experience and allocate our resources against what we do best: content creation, production and storytelling. And we get to do it with a trusted partner we have had for over 30 years, NBCU. Partnering with NBCU's Peacock not only provides a greater value proposition for our current subscribers. It also allows us to deliver our most premium content to a significantly larger audience, including the 33 million people who have already signed up for the service. Additionally, this partnership gives greater access to NBCU's best-in-class teams across sales, marketing and promotion as well as some of the most iconic franchises in the United States and around the world. Just imagine, with NBCU and Peacock, every three years is a Super Bowl, every two years is the Olympics, and every year is WrestleMania. We believe more than ever in the power of our brand. In 2020, WWE's television viewership held steady once we transitioned out of the Performance Center and invested in WWE ThunderDome. In fact, over the period from August 21 through year-end, which covers our move to the Amway Center and subsequently to Tropicana Field, Raw viewership is essentially unchanged and SmackDown viewership has increased 8% compared to the prior three-month period. During the fourth quarter, digital views increased an estimated 25% and hours consumed increased 44%, excluding the impact of geographical restrictions in India.
Kristina Salen: Thanks, Stephanie, and hello to WWE shareholders. Today, I'll review WWE's financial performance, liquidity and capital structure and business outlook. As a reminder, all comparisons are versus the year ago quarter unless I say otherwise. For the year, WWE achieved record revenue and record profit. WWE's adjusted OIBDA of $286.2 million was at the high end of our rescinded guidance and reflected nearly a 60% increase of more than $100 million. This growth was driven primarily by higher rights fees from WWE's U.S. Distribution Agreement. Throughout 2020, WWE managed a challenging environment, particularly for producers of live content. We estimate that WWE lost more than $90 million in revenue as a result of COVID-19 restrictions, primarily from the loss of ticket sales and the postponement of large-scale international events. WWE never went off the air. As shown on Page three of the presentation, we implemented short-term cost reductions and realized other cost savings that substantially offset these revenue losses. This was a remarkable achievement. But it does foreshadow a tough comparison for 2021. In the fourth quarter, the absence of a large-scale international event contributed to a 50% or $56.4 million reduction in fourth quarter adjusted OIBDA, which also reflected lower advertising revenue and higher TV production costs. To review the fourth quarter performance in more detail, let's turn to Page five of the presentation, which shows revenue, operating income and adjusted OIBDA contribution by segment. Looking at the WWE's Media segment, adjusted OIBDA decreased 37% or approximately $44 million to $73 million, primarily due to the aforementioned event loss and, to a lesser extent, decreased advertising sales and higher production costs. On December 11, we transitioned the WWE ThunderDome, our state-of-the-art environment for producing Raw and SmackDown to a temporary residency at Tropicana Field in St. Petersburg, Florida. In that stadium setting, we bring nearly 1,000 live virtual fans back to our show and surround them with pyrotechnics, laser displays, augmented reality and drone cameras. This staging increases production costs by approximately 25% per episode. We expect this investment to continue through at least the first half of 2021 as it brings a high level of excitement to our programs and most importantly, brings our fans back into the show. Despite a challenging environment, WWE continued to produce a significant amount of content. More than 700 hours of programming in the quarter and more than 2,300 hours for the year across television, streaming and social and digital platforms. As we prepare to transition the WWE Network to Peacock, we continue to utilize on the growth in digital consumption, promoting content sampling and subscriptions with the free version of WWE Network. Since the pandemic began WWE subscriptions and consumption have been up meaningfully. In the fourth quarter, 2.2 million total viewers watched content across all tiers, representing a 40% increase and those viewers watched 35 million hours of content, which was 14% higher. Perhaps most importantly, average paid subscribers to the network increased 6% to 1.5 million. Now let's turn to WWE's live event business on Page seven of the presentation. Adjusted OIBDA from Live Events declined by $4.9 million to a loss of $6.7 million due to a $26.7 million decline in Live Events revenue. These declines were due to the loss of ticket revenue resulting from the cancellation of events. Until mid-March, WWE held arena and stadium-based events in front of ticketed audiences. During the fourth quarter, however, WWE held no ticketed events. We are delighted to have announced the return of WrestleMania to Tampa Bay on Saturday, April 10 and Sunday, April 11, 2021 and at Raymond James Stadium with ticket availability and safety protocols forthcoming. However, it remains challenging to predict the pace at which we will return to a weekly live event schedule. We do not anticipate the staging of other ticketed events until at least the second half of 2021. Looking at WWE's Consumer Products segment on Page eight of the presentation, adjusted OIBDA decreased $3.2 million to $9.1 million, primarily due to lower video game sales and the absence of venue merchandise sales. The drop in video game sales was anticipated as WWE and Take-Two had previously determined to delay the release of WWE's franchise game until 2021. WWE continued to introduce new products, expand its video game portfolio and develop partnerships across product categories. For example, during the quarter, WWE continued to build out its video game portfolio, launching WWE Undefeated and WWE Racing Showdown in partnership with Indway and JetSynthesys, respectively. As of year-end, WWE had 140 million installs across its games portfolio. Demonstrating our commitment to product innovation, WWE released 2,000 new products on its e-commerce platform including 18 new championship title cells, which generated category growth of more than 100% for the year. Now let's turn to WWE's overall cash generation as shown on Page nine of the presentation. In 2020, we generated approximately $292 million in free cash flow, an increase of $240 million. The increase was driven by improved working capital, the timing of collections associated with large-scale international events, stronger operating performance and to a lesser extent, lower capital expenditures. As of December 31, 2020, WWE held $593 million in cash and short-term investments. This included $100 million borrowed under WWE's revolving credit facility which was repaid just in January 2021. And finally, a word on WWE's business outlook. Last week, we issued guidance for 2021 adjusted OIBDA. As previously indicated, WWE expects restrictions related to the spread of COVID-19, particularly related to ticketed live events to continue at least through the first half of 2021. Additionally, we anticipate a significant year-over-year increase in expense due to continued higher TV production expenses at WWE's ThunderDome as well as the return of employees from furlough. We estimate that WWE can achieve 2021 adjusted OIBDA of $270 million to $305 million as revenue growth driven by the Peacock transaction, the gradual ramp-up of ticketed live events, including large-scale international events, and the escalation of core content rights fees is offset by the increase in production and personnel expenses. In our view, the stated 2021 adjusted OIBDA guidance range will be approximately 15% to 20% higher without the ongoing impact of COVID-19, which includes the loss of ticket and merchandise sales of live events and the increased investment in production to further fan engagement. Turning to WWE's capital expenditures. In early 2020, and we deferred spending on the company's new headquarters. Given increasing visibility regarding WWE's projected performance and liquidity, we are planning to restart this project in the second half of '21. For 2021, we estimate total capital expenditures of $65 million to $85 million, including funds to begin construction as well as funds to enhance WWE's technology infrastructure. We are in the process of reevaluating the headquarters project, and we will provide further guidance on future capital expenditures when that work is completed. For the first quarter of 2021, we estimate adjusted OIBDA will decline as incremental profits from Peacock and higher content rights fees are more than offset by the absence of ticketed events, including a large-scale international event, and increased production costs. The timing and rate of returning ticketed audiences to WWE's Live Events remains subject to significant uncertainty. And as such, we are not reinstating more specific quarterly guidance at this time. And finally, I'd like to take a moment and talk about WWE's financial outlook in a post-COVID world, whenever that may be. As analysts and investors will likely use the ex COVID range of 2021 adjusted OIBDA guidance to estimate future performance, I would note that 2022 and future years will be impacted by a variety of factors. Certainly, the contractual escalation of WWE's core content rights fees will continue to be an important source of growth. However, other factors may temper that growth. Based on the accounting treatment of Peacock revenue, for example, we expect the highest incremental impact of the Peacock transaction to be booked in 2021. Another key factor to note in the WWE post-COVID business model is that while TV production costs may decline somewhat in 2022 relative to 2021, costs will likely remain higher than in 2019. This is due to the shift in 2020 to a Monday/Friday production schedule compared to a Monday/Tuesday schedule previously. Incremental costs related to this change were masked in 2020 by residency in various locations, particularly in WWE's own Performance Center in the early months of COVID. WWE continues to adapt its business to the changing environment. As Vince, Nick and Stephanie indicated, we believe WWE can and will continue to innovate across all business lines as we execute our strategic objectives. We look forward to sharing progress on these initiatives with you all in the future. And that concludes our prepared remarks, and I'll turn it back to Michael for Q&A.
Michael Weitz: Thank you, Kristina. Carina, we're ready now. Please open the lines for questions.
Operator:  We'll go ahead and take our first question from David Joyce with Barclays. Please go ahead.
David Joyce: Thank you very much. If you could please provide some more color on the cost side of the equation for the Peacock and WWE Network deal. If we could think about the phasing of cost savings and what kind of areas that will come in. Also, if you could talk about the sort of the onetime migration expenses and how that feeds into your guidance this year? Thank you.
Kristina Salen: Sure, David. It's Kristina. Thank you for your question. I think from the perspective of migration costs, most of that will be in the first quarter. So it's embedded in our guidance for both the first quarter and for the full year of 2021 and as are any potential savings from a technology perspective, but I would caution you from a technology perspective in that, I did highlight in my remarks, potential capital expenditures around technology infrastructure. At least, some of the technology savings will be offset by investments in systems that are long overdue. But it is all embedded in the 2021 guidance that we've provided.
David Joyce: All right. Thank you very much.
Kristina Salen: You're welcome.
Operator: We'll go ahead and take our next question from Brandon Ross with LightShed Partners. Please go ahead.
Brandon Ross: Hello, thanks for taking the question. I was also hoping you could help us better understand the financial impact of the Peacock deal. And I'm thinking more on the revenue side, are there any potential revenue offsets there against the licensing deal besides obviously, subscriber revenue going away? And then maybe one related for Stephanie. I wanted to think about your sponsorship opportunity following the deal. As I assume, you're giving network inventory to NBCU, what sponsorship - what's your sponsorship going to look like in the wake of this deal, particularly around the large pay-per-view events? And how is their sales force going to help you with your other sponsorship ambitions?
Stephanie McMahon: Sure. We'll work backwards. I'll start with that last question, Brandon, and thank you for the question. We can't really comment on specific deal terms, but Comcast NBCU is an industry leader, particularly in the sales and sponsorship space. And as we mentioned in the comments, never before have we been positioned alongside properties like the Olympics and Sunday Night Football, etc. So we're looking forward to amplifying our current partnership and certainly working with NBCU and Peacock.
Kristina Salen: And Brandon, it's Kristina. Just to answer your question about the incremental revenue opportunity, I think, is ultimately what you were asking about. It is embedded in our guidance. We're thinking about it from an incremental perspective. And you're correct. The offset would be the loss of subscription revenue related to the network.
Brandon Ross: Okay. And no other offsets besides that?
Kristina Salen: No.
Brandon Ross: Okay. And then, the other question I wanted to ask was about content flexibility given your broad relationship with NBCU. Is there the ability to perhaps move some higher profile content off of the pay-per-views and into Raw to help kind of bring Raw ratings back to growth?
Nick Khan: I can answer that, Brandon. This is Nick. Thank you for that part of the question. We're always looking for ratings growth no matter how high the ratings are. It's all about exceeding NBC's expectations. So there is flexibility. If the two entities came together and decided to put certain content onto a linear platform, we have the ability to do that. Obviously, both parties, again, would have to agree to that. For now, we're focused on helping Peacock grow their subscriber base, and we're confident that we can do it.
Brandon Ross: Thank you.
Operator: We'll take our next question from Laura Martin with Needham & Company.
Laura Martin: Hi, there. Maybe one for Vince, first. If we just sold the one million sub business in the US which helped cover the overhead cost of the network, why isn't that running 50 different countries for 400,000 subs is a good business idea versus doing what you did in Canada, which is just selling the rights to Rogers or syndicating out the rights. How do you think about those two P&L offshoring for the Network?
Nick Khan: This is Nick. I can assist in answering that. Thank you. I tried to articulate some of our international plan. We have robust thoughts on WWE Network internationally as we did 12 to 24 months ago domestically. So again, we're always looking at our existing partners in terms of growing our viewership, growing our audience. And that's going to be one of our many focuses moving forward as it already is.
Laura Martin: Okay. And then, my other one is for Kristina. You said here that EBITDA would have been - or OIBDA would have been 15% to 20% higher if you've been able to have live events in March. But I thought one of the great learnings of going into lockdown was that EBITDA margins exploded once you didn't have live because live sort of breaks even, and it's great for revenue management, but it actually isn't very profitable. So could you just walk us through like the longer the lockdown stays, the more EBITDA it seems like you have, not the other way around? What am I getting wrong in that equation?
Kristina Salen: Hi Laura, thanks for your question. I think, ultimately, it's looking at the TV production expense. So we're spending incrementally to increase our fan engagement and keep the excitement and energy around shows that normally would be live and have ticketed audiences against them. So there's not incremental revenue associated with the incremental spending that we're doing in the production of Raw and SmackDown in Tropicana Field right now. So the degree to which we're able to start bringing fans physically back into arenas and stadiums and getting them to buy tickets, buy merchandise will have a higher incremental margin than just spending money with no revenue against it at all.
Laura Martin: It's so helpful. Thank you very much.
Kristina Salen: You're welcome.
Operator: We'll take our next question from Curry Baker with Guggenheim. Please go ahead.
Curry Baker: I think my first one is for Nick. Can you maybe walk us through the key revenue opportunities from here now that the network deals done and most all the key TV rights agreements are done, let's say, MENA. And I think in particular, maybe what the opportunity is for sponsorship, the TAM there, just given that it's an area that WWE is historically under monetized then relative to other sports leagues?
Nick Khan: Thanks, Curry. A couple of things there. Our international plan, as I mentioned a few moments ago, is really just getting started. We're confident where we are internationally. We're also confident that there's a lot of room for growth. So we're looking at new revenue opportunities there. In terms of the sales and sponsorship element, as you may know, Stephanie took that over about six months or so ago. We've already seen a strong uptick in the results of that. We think with the NBCU partnership across it with WWE, you're going to see more of that. So we're confident in those revenue opportunities. In terms of the scripted and unscripted television opportunities that I mentioned in the prepared remarks, we're just getting started and are excited about a number of items in that arena. The championship title belt thing that I mentioned to you, that's just with one of the major sports leagues. So obviously, we're going to look to replicate that. Those sell at a decent price point and are a good source of revenue for the company now, and we believe something that can grow substantially in the future.
Curry Baker: Okay. And then, my last one is for whoever wants to take it. I mean, one question I get the most from investors is, how will you guys reverse ratings trends? Aside from bands coming back hopefully later this year, which should help boost ratings. What else is the company doing to enhance the product and drive yours back to Raw and SmackDown?
Nick Khan: So a couple of things, Curry, this is Nick again. We don't believe that we've lost eyeballs. We believe eyeballs tend to shift from linear to digital platforms. So if you look at even our Facebook numbers, which are significantly up the last six months or so, including the revenue against those numbers, we think the eyeballs are there. Like I said, we're always looking to grow ratings. So now that we're coming out of a competitive presidential race that a lot of people were focused on. We're still all in the midst of a virus that a lot of people are focused on. We believe with the continued great in-ring product that the eyeballs are continuing to grow and will result in more linear eyeballs as some of the other stuff that I just mentioned passes. So we feel good about our position, and we think our network partners do as well.
Curry Baker: Okay. Thanks for the questions.
Nick Khan: Thank you.
Operator: We'll take our next question from Ben Swinburne with Morgan Stanley.
Ben Swinburne: Hi, good afternoon. Two questions, maybe for Nick. Interesting this Peacock deal, you mentioned or maybe Stephanie mentioned, that you were the company or WWE was the company that started this whole direct-to-consumer trend many years ago. And now all these companies are pouring into that space. I'm wondering if you think you're going to see the rest of the industry sort of move in the direction you've moved in, sort of offloading the rights in a broader platform. And also, are you giving anything up in this? I mean, direct-to-consumer and having relationships with your fans, obviously strategically important. I think you mentioned, Nick, that you guys are retaining data, so I'd love to hear more about that and how you think about maintaining those relationships in this new model? And then, I don't want to let Kristina down, so I'll ask her an accounting question. Can you tell us anything about how the mechanics of this deal is going to work on the P&L over time? I'm just wondering, particularly on the pay-per-views, whether there's going to be volatility we should be aware of or anything you can help us with? Thank you, guys.
Nick Khan: Thank you, Ben. I think there were like eight compound questions baked in very well done by you. We'll talking about NBCU and Peacock first. If you look at the big media conglomerates, there's not one that has the cable, which obviously, the pipes into homes, including broadband, the content, the theme parks and remove any company that has a satellite company. Again, we're talking about broadband pipes. NBCU is unique in that way. It was sort of the right time to look at it and say, - even if you caught this tease a few weeks ago, on the Football Night in America, pre NFL - pregame NFL show going into their playoff game on Saturday prime time a few weeks ago. They announced the next three locations of WrestleMania, including the upcoming April 10 and 11 in Tampa. Just that announcement on their linear platform combined, which what we thought was a very creative content output by Paul and Steph in terms of talking about the different cities we're going to. During a football game, the whole thing went viral. It almost took over social media. And again, the NFL is the NFL, we're not - certainly, it's not for us to compare ourselves to them. But we feel great about how that worked. It was a bit of a tease because the Peacock deal was already done, which is why they tagged that announcement with Raw coming up on Monday night. There's going to be more of that. We are putting together our 2021 - finalizing our schedule in terms of pay-per-view premium events. Look for events to be piggyback onto big NBC events, where we'll have that promotional power headed our way. It's the first time ever that WWE has partnered with someone who has that sort of reach on these events. So we feel good about our chances. In terms of the financial part of it, I would turn that over to Kristina.
Kristina Salen: Ben, thanks for throwing me an accounting bone. But I'm really glad you brought it up because I think it's an important thing for all of our analysts and investors to understand. Of course, you all have a lot of experience with content rights deals and the mechanics of them. And there's two things, though, that I want to underscore here. First, I think in your question, Ben, there was an underlying assumption that there would be volatility around pay-per-views. Just so everyone understands, there is no upcharge around special content for WWE. This is one $4.99, you get everything, get our library, you get our pay-per-view, plus the amazing content coming out of Peacock as well. So there won't be that kind of volatility. The second thing I would say, and I touched on it briefly in my prepared remarks is that we're still working through the accounting from the perspective of just making sure that it's properly reviewed. But in any case, regardless, 2021 will be the biggest year in the deal from an incremental revenue and adjusted OIBDA perspective, because upon delivery of the deal, so to speak, upon the onset, we have to value the subscribers that we're transferring over and we have to value any IP that we're transferring over. And that will be all recognized in 2021. And then in 2022, you'll have the regular revenue recognition of the ongoing deal. So hopefully, that's enough geeking out on accounting for you to keep you busy.
Ben Swinburne: Great. Thank you very much everybody.
Nick Khan: Ben, can I just tag that with one thing, if you're still with us?
Ben Swinburne: I am, of course.
Nick Khan: Thank you. What I'd mention in terms of the power of broadcast, we don't believe broadcast is going anywhere. If you look at our partners at Fox, they put together a pre-Royal Rumble show for us, which did over one million viewers. We announced the 30th and 29th - I'm sorry, we announced the first and second people to enter into the rumble. All of that stuff matters. That Fox network platform, having them promote into SmackDown, it matters. So again, in terms of broadcast networks, we're thrilled with Fox, and we're thrilled with what NBC can do for us promotional wise. Thank you.
Operator: We'll go ahead and take our next question from David Karnovsky with JPMorgan.
David Karnovsky: Thanks for the question. Nick, I was wondering if you could discuss how you expect NBCU will evaluate the success of WWE content on Peacock. Since the Nielsen ratings, obviously, don't apply just interested to think - how do you think the way factors like subscriber adds, advertising yield or maybe just the promotional value of having something like WrestleMania on there?
Nick Khan: So, we think it always comes down - we refer to them as the 3Rs; Ratings, Relevancy and Revenue. Ratings in a subscriber base, obviously, based on subs; relevancy for a product like WrestleMania for them to be as excited as they are about it; and revenue, obviously, it's a tremendous opportunity for them to sell against it on an ad supported tier at $4.99. So we always look at it by thinking about those 3Rs in terms of our partner satisfaction.
David Karnovsky: Okay. And then, just on a separate topic. Can you speak to how the shutdown of the NBC Sports Network and then the move of sports content over to USA potentially impacts Raw and NXT, either in terms of scheduling or just kind of the overall role that your content has had at that network. And with NXT, do you ever kind of consider moving any of that content over to Peacock, the weekly content?
Nick Khan: We believe it has no impact on us, The departure of NBC Sports Network. I think we think what you're seeing in the cable universe is going to be further consolidation. So we know that the bundle has now sort of been unbundled or a little exposed. So the networks that were propped up, and not as strong cable networks that were propped up by the stronger cable networks, like USA, but not as strong ones probably cease to exist across the board. So look for more content migration onto the stronger cable platforms, that there'll be no effect on Raw or NXT.
David Karnovsky: Thank you.
Operator: We'll take our next question from David Beckel with Berenberg. Please go ahead.
David Beckel: Great. Thanks so much for the question. I'll start with the high level one. You talked a lot about the ongoing shift in viewing towards digital platforms and, of course, the Peacock deal really hits the nail on the head there. I'm wondering how this negotiation and this deal might influence future TV deals? Those are obviously, especially in the U.S., quite a ways away. A lot can change between now and then. Are you thinking about the way in which you might license Raw and SmackDown in the US any differently as a result of this deal, maybe taking that on an exclusive basis to a digital platform? And then I have a follow-up.
Nick Khan: Thanks, David. First of all, we're always going to look to our incumbent partners to see what their plans are in the future and to make sure that those conversations happen first. We are open to all buyers. So I think it was the LightShed folks who had predicted that Thursday Night Football may go to Amazon exclusively for the first time and the exception on that exclusion is it may also be an NFL Network. But it wouldn't be on a traditional broadcast network. We agree with that assessment. That's obviously speculative on someone else's property, but you see Amazon hovering around. They tested Live out in the U.K. first with tennis. They then came and tested it out when Thursday Night Football digitally was on Twitter. They took that package and put it on Amazon and has done some interesting things with it. Obviously, there's an executive change that we all learned about not too long ago. So, we'll see how that shakes out. But we'd like to think we have our finger on the pulse of what most of these buyers are looking for down the road, again, with a heavy emphasis on Fox and NBCUniversal to make sure that they're taking care of.
David Beckel: Great, thanks. And just as a quick follow-up. Nick, you mentioned the 15% to 20% impact to EBITDA from the pandemic. I was wondering if you could maybe help us splice that a little bit in terms of how that's comprised. What - or what portion of that is related to production costs versus the other impact you mentioned, which is the loss of ticket sales and merchandise?
Kristina Salen: Thanks for the question. We haven't broken it down publicly with regard to percentage impacts. But what we have said is we expect there to be a significant year-over-year increase in WWE's expense base due to continued higher expenses associated with the production of Raw and SmackDown at Tropicana or any other facility like that post. We have said that our TV production expense is up 25% per episode. And we also pointed out that there's also an impact of the return of employees from furlough, which won't start to be a year-over-year comparison really until the second quarter of 2021. And of course, the biggest X factor in our minds is the return of Live - ticketed live events and the pace at which they ramp, as Vince talked about in his opening remarks. What's the capacity restriction going to be? How many stadiums are available to us across the United States in any given moment? Are we allowed to sell merchandise? All of these things are kind of up in the air right now. It's anyone's best guess in the live event business as to when and then as to how. So all of those are kind of impacting as we think about that 15% to 20% estimate of what we think that ongoing COVID impact is on our numbers for 2021.
Michael Weitz: Thank you, Kristina. We have time - I'm sorry, they have given the length of the call, we're just going to take one more caller. Thank you.
Operator: We'll go ahead and take our last question from Vasily Karasyov with Cannonball Research.
Vasily Karasyov: Thank you. Good afternoon. I wanted to follow-up on Kristina's point that the company should be looked at in terms of normalized earning power. So if we think back to Saudi Arabian events, can you help us understand the profitability of those events so that we can sort of run sensitivities. If I remember, we can figure out the revenue from the reported financials. But if - I think a couple of years ago, you spoke about the first event being more profitable than the second. So if you could just help us triangulate the EBITDA impact, that would be super helpful.
Kristina Salen: Sure. I think just looking at this most recent fourth quarter, we'll give you a great baseline in terms of understanding what the absence of a large-scale international event has on - the impact that it has on our business. As we discussed in the fourth quarter, the absence of a large-scale international event contributed to a 50% or $56.4 million reduction in fourth quarter adjusted OIBDA, and that did also reflect lower advertising revenue and higher TV production costs. So we're seeing it very starkly in this quarter just reported what the positive or when they come - when a large international event comes back to us, the positive impact that can have on our adjusted OIBDA.
Vasily Karasyov: All right. A quick follow-up then. Do both of them have the same profitability profile? So if you have one in a year or two in a year, you just multiplied the positive impact by 2? Or the second one is less profitable? Because I think that was the case before.
Kristina Salen: What I would say is it's really - in talking about live events, we are in the hyper theoretical right now because, again, even talking about live events in the United States, it's quite difficult to hypothesize what it will look like. Even in 2022, what some of the restrictions may be, but what I would say is comparing one event to another event in any given year, it depends on where it is, where it is within the country, what the expectations are around the show itself. There are so many factors that go into it that would just be a highly theoretical conversation.
Vasily Karasyov: Thank you very much.
Kristina Salen: Thank you.
Michael Weitz: Thank you, everybody. We appreciate you listening to the call today. If you have any questions, please do not hesitate to contact me, Michael Weitz, or Michael Guido, your contacts in Investor Relations. Thank you.
Operator: Once again, that does conclude today's conference. We do appreciate your participation. You may now disconnect your phone lines.